Operator: Good morning and welcome to the Scientific Industries Second Quarter Fiscal Year 2023 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Joe Dorame with Lytham Partners. Please go ahead.
Joe Dorame: Thank you, Andrea. Good morning, and thank you for joining us today to review the financial results of Scientific Industries for the second quarter of 2023 ended June 30, 2023. With us today on the call are Helena Santos, Chief Executive Officer; Daniel Grunes, CEO of Scientific Bioprocessing; and John Moore, Chairman. After the conclusion of today's prepared remarks, we will open the call for questions. Before we begin with prepared remarks, I would like to remind everyone certain statements made by the management team of scientific industries during this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Except for the statements of historical fact, this conference call may contain forward-looking statements that involve risks and uncertainties and some of which are detailed under risk factors and documents filed by the company with the Securities and Exchange Commission, including the annual report on Form 10-K for the year ended December 31, 2022. Forward-looking statements speak only as of the date the statements were made. The company can give no assurance that such forward-looking statements will prove to be correct. Scientific Industries does not undertake and specifically disclaims any obligation to update any forward-looking statements, except as required by law. Now I'd like to turn the call over to Helena Santos, CEO of Scientific Industries. Helena?
Helena Santos: Good morning, Joe, and good morning, everyone. Welcome to the Scientific Industries second quarter earnings call. I'm excited to share details of our progress in the metamorphesis of Scientific Industry. The common themes between our two growth businesses, Torbal and SBI or Bioprocessing are, we now are automating our customers, manual workflows affordably solving two of their biggest pain points. One is the high turnover or scarcity of skilled workers and two, which is probably the most important extensive data and control for regulatory, quality and productivity reasons. In our second quarter, our Benchtop Lab Equipment business generated approximately $250,000 of positive cash flow. This after investing approximately $130,000 for development of the final two models of our VIVID pill counter-line called the Workstation. To-date, we have sold nearly 1,000 units of the VIVID and generated close to $2 million of revenue at approximately a 50% gross margin. This means we are already earning a return on our $800,000 investments and VIVID product development costs to date. VIVID sales are more than double last year in the comparable six month period and sales growth is accelerating with Q2 2023 sales up 140% versus the same period last year. Sales growth could accelerate even faster with the November implementation of the FDA mandate for track and trace across the entire U.S. pharmaceutical supply chain. Our track and trace feature is very proficient -- and because we do it in the Cloud, it is arguably better than what others are offering. And this is a great selling point for our VIVID. And even more important to customers, particularly the change is what is referred to as PV2, which is final prescription verification, and this will also be available in our workstation. In addition, Q1 2024 will see the launch of the first of these two VIVID Workstation models. To-date, the VIVID products we launched have been less expensive than all of our competitors. We strive to make our VIVID pill counter one of the best in the market with constant improvements and updates based on user feedback. Our customers are now processing over 400,000 scripts a day using our VIVID pill counter, bringing the total number to date of counts to over $5 million. And we expect to double that within the next 12 months. The Workstation will sell at a premium to our customer to our competitors offering price, but it will deliver greater feature sets and return on investment at a $15,000 price point. When this product is launched, -- we will be the only provider of solutions at every customer price point in this growing market. We feel that we're just scratching the surface of the 88,000 U.S. retail pharmacies, that could ultimately benefit from the VIVID family of automated pill counters. And with that, I would now like to hand the call over to Daniel Grunes -- he's the CEO of SBI to discuss our progress in our very promising bright processing business. Daniel?
Daniel Grunes: Thank you, Helena, and good morning, everyone. The advent of synthetic biology is as exciting as the accomplishments of the Internet, the development of the personal computer or the invention of a smartphone -- and we are standing at the threshold of a technological revolution that is poised to redefine industries and reshape human lives. Symbio is already creating synthetic fuels, lab or meat or green chemicals from agricultural waste and it has given right to alternative sources for medicinal products and more targeted treatment options for diseases like cancer. The potential is clearly no. A recent McKinsey report paints a vivid picture of the Symbio potential projecting an astounding $4 trillion in direct global impact over the next decade. And Forbes Magazine sees the wealthiest individuals on the planet going all in on the mega trend with investors like Bill Gates, Eric Schmidt, Peter [indiscernible] or Jerry Yang finally building up their SymBio portfolio. However, the truth is, Symbio's too fragmented, too extensive and too time consuming to be disruptive or to compete with traditional solutions and products in the first place. Current technologies to develop these processes come at a sticker price for up to $1 million in CapEx per experiment cost of around $1,000 and require highly trained labor to operated devices. Hence, the vast majority of the market cannot afford these systems. On top of that, they only provide insights into very selected process set while others remain unaccessible black boxes as a result of which a recent BCG study concluded that 90% of all Symbio processes still fail today, especially in times where companies are faced with inflation, blockbuster patent expirations, rising R&D expenditures and a disconcerting trend of diminishing returns on investment, there's an urgent need for simpler, cheaper and more affordable technologies. And this is where DOTS where we are coming into play the DOTS platform for digitally simplified bioprocessing. With that, we are taking a simple Shake Flask, the most ubiquitous vessel in the market and were retrofitted with the technical capabilities of the established Bioreactor solution to enable simpler, faster and more affordable bioprocessing at a fraction of the cost of existing solutions. In our last earnings call, I've given you an update on the introduction of the first component of DOTS software, which enabled us to migrate all our legacy products into a single platform and to unlock close loop controlling Shake Flask. During this last quarter then, we have been working to further develop DOTS software based on market feedback from our growing customer base and in anticipation of the launch of our next product generation towards end of this year. We have redesigned the software to significantly reduce the clicks required to start an experiment in line with the plug and play character that we seek to achieve. Additionally, we have successfully integrated licensing features into the DOTS software, which enables a subscription-based SaaS model to be implemented with the next release and which is an important step towards the launch of our multiparameter reader. And lastly, we have further work on third-party integration as well as further IoT-based connectivity, which in part was implemented through paid customer requests. As we got the second component of DOTS the multiparameter reader, we have continued the optimization and evaluation of our sensor electronics up until the functional design freeze and first pilot batch to test the manufacturing process of the reader. On the basis of the positive results, we are currently kicking off the first larger production batch of the readers in preparation for early access customer studies. At the same time, our R&D team has made remarkable strides in advancing the third component of DOTS, our new chemo sensor pit. On the one hand, the last quarter was focused on the further technical evaluation, optimization and performance improvements of our sensor system, as well as the development and the assessment of the sterilization and packaging of the new Pit. On the other hand, following two years of negotiations, we entered into a long-term strategic agreement with Tyro Science, a world-leading manufacturer of state-of-the-art optical sensor technology, which ensures SBI to have exclusive access to their technology as well as a decade of domain expertise and which turns one of our potential competitors into a partner to deliver the best technology on the market. Our DOTS sensor will play an essential role to unlock the full potential of the platform as they translate the sensing capabilities of complex, expensive and advantageous applications via electrodes and spot technologies into the form factor of a period which will make pH, DO, glucose or metabolite sensing as easy as hopping an Advil for your headache. Excitingly, with these developments, we are well on track for upcoming pilot tests with early access customers, as well as the planned Q4 launch of the technology. And with our clear and defined product road map, we are poised to continuously enhance our platform by introducing new centers every six to 12 months, ultimately delivering significant value to our customers. Before I finish our portion, let me briefly comment on the progress from our operational and commercial teams. As regards to our operations, we have continued our post-merger integration efforts to become a more professional and more effective and leaner organization. As such, Q2 saw us launch a new company-wide ERP system, which centralizes all data resources at SBI and enables cross-functional access to a global sales and service data across the different legal entities. At the same time, we have finalized the implementation of our new HR management tools and kick off a project on quality management to become a more standardized and compliant with ISO standards organization, which will not only help us to run the company more efficiently, but also open stores towards new customer segments that require such standardization. As regards to commercial side, you may recall that we have recently adjusted our go-to-market strategy, have set up dedicated distribution management and have focused our sales team towards a more specialized profile with a clear focus on the identification of product application fit. Also, we have continued to restructure our salesforce and going forward, we will unlock untapped potential in the commercial team with dedicated segment and product training as well as a closer alignment between marketing and sales. Certainly, these adjustments will take time to show their full effect, but we are on a very promising path. The feedback we received from the market from our customers and from potential strategic partners clearly shows the opportunity at hand. We are happy to see that more and more customers are sharing their success stories with our technologies, and there are even big corporations are reaching out to us to become early access tests of the new platform. At the same time, our marketing and early-stage sale pipelines are encouraging, and our conversion rates are improving. And we have managed to compensate for the loss of royalties from patent expirations by increasing our product revenues with the Aquila Legacy Tech and already prior to market launching the new products. As such, our Q2 product sales of $368,000 are up 65% compared to the previous quarter, and the backlog into the third quarter indicates an increase of 96% in customer orders compared to the same quarter last year. And with that, I would like to hand back to Helena.
Joe Dorame: Andrea? We're ready to take any questions. Can you please provide the instructions on how to queue up.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Paul Knight of KeyBanc. Please go ahead.
Amanda Young: This is Amanda Young on for Paul Knight at KeyBanc Capital Markets. How are you today?
Helena Santos: Yes. How are you today?
Amanda Young: I’m doing well. Nice to see you guys again. I had a couple of questions for you guys today. And first, looking at it, I'm seeing all of your VIVID products. I understand that they are the most inexpensive on the market, compared to your competitors while still offering the same variety. I just wanted to see, are there any risk factors that we need to be aware of for these VIVID products?
Helena Santos: None that comes to mind other than general business risks. But in terms of any other -- now the only thing that one could say at some point in time in the future. And I would say, within the next few years could be -- anything that's related to HIPAA loss, that we may have to take into consideration. But other than that, I'm not aware about that.
Amanda Young: Okay. Sounds good. And then just another one really quickly. When we're talking about your DOTS programs and the different stages that it's going through, you guys briefly talked about different licensing features. Could you just expand a little bit more on that?
Daniel Grunes: Yes. Hi, so essentially, when I talked about the DOTS licensing features, I'm talking about the implementation of features in the software that allow for a subscription-based business model, essentially up until now, and that's historic with our industry. We are selling our software as a one-time service, so you acquire a license and become the owner of the software. And in the future with the multiparameter reader and the different pits that we're launching, essentially, what we want to do is that essentially the customer acquires a subscription, an annual subscription to the software. And then if, let's say, they start with a system that allows them to measure oxygen for that matter, they can, at a later point in time, enlarge the system by saying now I want to also add a biomass feature and just subscribe to that feature in the software rather than acquiring a new software. And for us, it's a means to establish any recurring revenue out of a previously one-time revenue product.
Amanda Young: That makes a lot of sense. Could we potentially go into some of the new various features that you guys are thinking about adding on to the new DOTS programs?
Daniel Grunes: Yes. So essentially, on a very high level, what we're adding. So maybe to zoom out for a sec. So essentially, the DOTS Plus platform has four components. It has the multiparameter reader. It has the liquid injection system, which allows you, based on the signals from the reader to add substances to the cultures and thereby control whatever happens in the Flask then it has the software itself that puts all the data provides the data analytics and is almost like the navigation system for the customer in their experiments. And it has the sensing piece, right? So -- and the product road map that I was referring to, where we have a very clear foreseeable task and launch path ahead of us is with regards to the sensor pit, where we will start launching the first pit by the end of this year, this hedging beginning next year, which is dissolved oxygen -- then throughout the year 2024, we will launch pH. And with pH NDO as well as the other tech, we will basically, at that point, have mimicked what a biovector can in the form factor of a Shake Flask. And as of then, we aim to take the Shake Flask beyond what a biovector can beyond the capabilities of that of those established systems with a launch of glucose sensing and then metabolizes that. I don't need to go into the details, but metabolite sensing is certainly something that is very interesting. And our ambition is to launch new sensors, new sensing pits every six to 12 months in the frequency of every six to 12 months.
Amanda Young: Understood. And it definitely sounds like that's very exciting for you guys. Will you guys say you guys have new products every six to 12 months? Can we -- how long are we expecting for this to go on for? And then is there anything particularly exciting for you guys that you guys are really looking forward to?
Daniel Grunes: Yes. I mean, currently, of course, what we're doing is we're planning for a three to five year road map. And that's what I'm willing to communicate. Certainly, as you can imagine, startup embedded in a promising organization like we are in a market that is unfolding and given the customer feedback that we received that naturally, we're working on further innovations in the background. Now I'm particularly excited after eight years of market testing and from being a founder of the organization to bringing the tech to the market for market testing. And by the end of this year, having all the platform components available to us. I'm particularly excited to unlock this vast majority of customers that currently cannot afford established solutions, because they are too expensive and thereby democratize the bioprocessing technologies and unlock a new era for synthetic biology. So that's certainly what I'm looking for and to see what -- where we can land with this because it's super exciting.
John Moore: So -- and specifically, Amanda, the company initially invented the first automated Biomass Monitoring System that was six years, seven years ago. And then about six or seven months ago well, I should say, probably two years ago, they invented this liquid injection system. And then six months ago, they developed a way of combining so that you're actually feeding the cells based upon the growth of the Biomass. And then this -- in the fourth quarter, we're going to be introducing oxygen-based feeding later, we're going to be introducing pH-based feeding and then even later after that, glucose-based feeding. So everything we're doing is we're tightening this gap that Daniel was talking about between what can be done in a $10,000 experiment in a bioreactor or a $2,000 experiment in an Ambr system to being more like a $100 experiment in a Shake Flask. So that's the real price and the scientific revolution. And all that's going to be important because it's going to enable machine learning and artificial intelligence to take much larger structured data sets and really reduce the cost of science even further.
Daniel Grunes: Yes. I wanted to add to exactly that point, John. So essentially, that's what we're enabling. And you must imagine, Amanda, that in our industry, our customers, they try to keep their processes in the design space by following up with so-called critical quality attributes and critical process parameters. And we always say that if you measure much more than what is deemed to be critical at this point in time, because how can you really say that something is critical if you cannot measure it, and we want to take it beyond that measure what we can measure and then by a pattern recognition you will see other factors that determine the product quality, product yield and outcomes in a process, eventually much better than what we currently know.
Amanda Young: Absolutely. Thank you guys so much for the time. I really appreciate it today.
Daniel Grunes: Thank you for your time.
Operator: Next question comes from Harrison Schrage of KeyBanc. Please go ahead.
Harrison Schrage: Okay, guys, Harrison here also with KeyBanc. Just couple of quick questions. I was wondering what you're seeing in the rest of your portfolio outside of Bioprocessing and broader Torbal division. Obviously, strong growth in Bio-processing 108% in VIVID -- what's offsetting that on the rest of the portfolio for total growth of 7%?
Helena Santos: Good morning. How are you today?
Harrison Schrage: Doing well. How are you?
Helena Santos: Good, good. So the only thing that we see past what we've discussed in terms of the Bioprocessing business and the Torbal is that on the Genie brand there is some softness just like most of the businesses that you and Paul and your team have been covering particularly with the trends of the de-stocking and some of the slow growth in certain Asian markets. And just like you guys have seen and the other companies that you follow, we see the market stabilizing towards the end of this calendar year and coming back to the normal single-digit growth. That's what we're seeing in the Genie brand business. Still generating positive cash flow, of course.
Harrison Schrage: Got it. And so just one on that a little bit more here. So you're only seeing that in Genie, you're not seeing that in the other portions of the business at all?
Helena Santos: No -- no we're seeing a nice constant growth in the rest of the portfolio, particularly with the Torbal, which is obviously more immediate because -- that's just a different product line we don't to a different market. And that we see a constant growth from quarter-to-quarter and expect it to continue with no headwinds inside.
Harrison Schrage: Got it. In the press release, you cited increased customer base in the Bioprocessing business. I was wondering if you could help us kind of quantify that maybe year-over-year growth? And I suppose it sounds like to the point we've just talked about, you're not really seeing any of those broader Bioprocessing headwinds as much in that division? I mean is there any change in customer behavior there at all?
Daniel Grunes: Yes, very briefly. So, I don't have the numbers with me right now in terms of customer growth year-over-year. but happy to get back to you on that. With regards to headwinds, I mean, Certainly, in some of the segments we're selling to, you see them talking about the chemical industry, for example, if you look at the biggest companies and outlook as regards to the expected results by the end of the year, expected revenue by the end of the year, some of them might be more cautious. But the beautiful thing about our position right now and about our technologies is that they have a wide application towards basically any kind of segment within various industries, which is also the reason why we switched from a segmentation specific sales approach towards a product application fit approach because you could have the various applications within a certain segment. So we are selling some the chemical industry to the food industry to Red biotech and pharma from big blue chips to the most innovative startups and organizations like the FDA or the U.S. government. So that means essentially headwinds in one segment are usually balanced with tailwinds in others, which is why we, as a technology provider at least for the past six years that we are on the market, not so much affected by headwinds in specific industries.
Harrison Schrage: Got it. That's helpful.
Daniel Grunes: Does that answer your question.
Harrison Schrage: Yes. Yes, that helps. And then Helane, last question for me. I was wondering if you could just kind of give an update on your cash burn and just kind of how you're thinking about the balance sheet and capital needs at this point looking forward?
Helena Santos: Sure. Well, you could see from our financials that we go through about approximately $600,000 a month -- although we've put some cost cutting measures in place, mindful of the bottom line as well as the top line, particularly in our bioprocessing business. We've been able to do that. Obviously, you've seen that we've filed an S1 for an offering and also up-listing to NASDAQ. So obviously, our Board of Directors is considering all forms of financing to finance and fund our operations going forward. I can't go into any more details on that because it's not public, but whatever is public, you can see that.
Harrison Schrage: Got it. Thanks, Helena, that’s helpful.
Operator: The next question comes from Allen Klee of Maxim. Please go ahead.
Allen Klee: Yes, good morning. You talked about how in the fourth quarter, you're looking at some oxygen-based feeding and then some other PhD and Glucose. Could you give us some examples of how your customers will be using this type of these different types of tests in their applications. Thank you.
Daniel Grunes: Yes. I mean I tried to do it on a -- let's say, on a high level, give you an example. So in general, in synthetic biology, what we refer to as synthetic biology is that instead of other than biology, when you are an organization, you're not only observing what an organism does, but you're essentially reengineering the organism in a way so that it performs a specific task for you. And usually, that task is to turn a cheap raw material into a high-value product. So cheap raw material, for example, into an antibody or some sort of lab grow meat or synthetic cotton as one of the most recent examples. And you do that by hundreds and thousands of manufacturing steps using different vessels from small scale to large scale. So you start in your lab with small scale few milliliters up to production capacities of thousands of liters. And what you do in order to get there is that on the one hand, you need to you need to find the right organism and engineer it in a way that it performs this task that you want that organism to achieve and to perform and then you need to develop a process by which that organism performs that task on a larger scale production capacities. And in order to do that, you basically -- on a high level, you have a reaction vessel that could be Shake Flask, could be a bioreactor, could be a tank-reactor you feel that reaction vessel with some nutrients and the cells and then you either serve them or put them in motion so that oxygen gets transferred into the Flask and that the sales start to grow based on a carbon source that they have in the liquid. And our technologies, for example, they -- what they do is allow you to keep the organisms and keep that growth in the design space. So essentially, we measure how do the organisms do, how are they -- are they consuming the oxygen that they need? Are they limited in oxygen? So do we need to increase the flow rate stir or the shaking speed so that they get more oxygen or are they limited in growth because they are changing the metabolism and they're not having enough carbon source. So essentially, they're not having enough food available to them so that they can grow further. So if that happens, if our Biomass Sensor detects that they are not growing as they should then they could give a signal to the Feeding System. The Feeding System could add additional carbon source. And add that food to that required food to the culture so that they continue growing as they should in the design space. So that's what we're doing. And essentially, in the past, what we've been working with was Biomass, so cell growth as a parameter. And that's a parameter that we call a trailing parameter. So it's almost like when you have a kid that kid grows and you take them to the doctor every couple of months, and then the doctor says, okay, that kid is overweight, underweight or within the range of the normal -- and if you see -- if you detect any kind of change there, then you react to it by either feeding them more or feeding them less or whatever and oxygen consumption, for example, and that's the first period that we're launching by the end of this year. Oxygen consumption is a leading indicator. It directly shows you the cells live? Are they breathing? Are they consuming the oxygen that we expect them to? Or is there something off with the culture do we need to react? And that helps, of course, in A monitoring and controlling the cultures that we're working with and keeping them in the design space so that you know when to harvest or when to when to transfer them to the next reaction vessel to the next larger batch or maybe when you have failed, you don't need to wait for a couple of days before you realize your endpoint is not there and you need to start over, but maybe you see that from a contamination or so in the data immediately after a couple of hours and can fail faster and start from scratch earlier. So this is the kind of metrics that we're using. What we are -- what I described as critical process parameters and the process parameters that are currently being used in established solutions are pH -- so basically measuring the base or the acidity in the cell, so far, for human cell, that means they need to be in a certain space. Otherwise, it's a toxic environment and they are dying. Or Dissolve Oxygen so oxygen consumption or Biomass growth so that sale growth. Those are the parameters that are currently being used. And then we are taking it along our road map further with Glucose or Glucose consumption or metabolites such as lactate, for example -- that we can then measure.
Allen Klee: That was great. Thank you. So if a customer would buy an SBI DOTS solution, is this a onetime purchase? Or is there a recurring nature that would go with that?
Daniel Grunes: So currently, so in the current parameters that we've been market testing, and selling in the last couple of years, for example, the Biomass Sensor and the software. Those were historically always one-time purchases. Such as the Genie is a one-time purchase or as much as we would purchase a car. And in the future, once we launch this full whole solution platform by the end of this year, we will essentially have two or three, however, you look at the consumable components. So we will have the multiparameter reader, which will remain a onetime purchase. And then we have the Software-as-a-Service subscription model -- so annual subscription where you subscribe to certain applications. For example, if you're using the multi-parameter reader and you want to use the Biomass application, then you would subscribe to the Biomass -- and if you want to use Biomass and pH, you would subscribe to the Biomass and pH application. And then there is consumables involved in the liquid injection system and the pit. So the liquid injection system is a combination of a literal miniaturized pump and electric computer that sits on top of the reaction vessel, and that you attach to a single-use sterile attack cartridge. So essentially, you take out the thing with thyroid cartridge, you fill it with whatever liquid solutions you like, let's say, a sugar solution, so a food source for the organism, you attach it to that miniature computer -- you run the experiment afterwards, you can reuse that little miniaturized computer and pump, but you throw out the cartridge and for your next experiment, use a new one. And the same is true for the pill. The pill will come as a sterile-packed single-use pill, as I said, almost like your Advil for your headache. -- it will likely come list attack. And you just -- if you want to measure pH, you will pop a pill into the action vessel. And after the experiment, you will throw out the pill and for the next experiment, you will use a new. And if you have various measurements in parallel, let's say, you want to measure pH, DO and glucose for that mean you would pop in three pills and throw out those three and for the next experiment use additional ones. So we will essentially by this combination of the subscription -- the software subscription, the consumables for the liquid injection system and the new sensing pills we will create a significant portion of annual recurring revenue components into the business model.
Allen Klee: That's great. Thank you so much.
Daniel Grunes: You’re welcome.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Moore for any closing remarks.
John Moore: Great. And so in conclusion, what I'd like to say is that what Helena started in 2011 with the licensing of this new generation of optical sensors that were a little sensors about the size of a postage stamp that replaced a footlong $1,600 electrode that is still common and prevalent in the industry. What she started with that sartorius integrated into the Ambr system and their bio-bag systems that sold billions of dollars of products. We're now continuing through the acquisition of Aquilia Biolabs, repositioning the company, investing the $24 million we've invested to date, none of which has generated any additional revenue, we're on the precipice of these new products coming into the marketplace. It's what the customers have told us and the customers have told Daniel and as co-founders that they want in the marketplace is a product that combines the convenience and low cost of the Shake Flask with the performance and the control of a bioreactor. We're about to deliver this to science. It's going to be a big force multiplier in the field of science -- and we're really excited to deliver the economic benefits of all this investment we've made. Thank you all so much for paying attention to our story and our progress, and we're really excited for the next six to nine months to show you what we've been working on so hard for the last several years. Thank you all very much.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.